Operator: Good morning, and welcome to MTY Food Group 2025 Fourth Quarter and Year-End Results Earnings Conference Call. [Operator Instructions] Listeners are reminded that portions of today's discussion may contain forward-looking statements that reflect current views with respect to future events. Any such statements are subject to risks and uncertainties. that could cause actual results to differ materially from those projected in forward-looking statements. For more information on MTY Food Group's risks and uncertainties related to these forward-looking statements, please refer to the company's annual information form dated February 19, 2026, which is posted on SEDAR+. The company's press release, MD&A and financial statements were issued earlier this morning and are available on its website and on SEDAR+. All figures presented on today's call are in Canadian dollars, unless otherwise stated. This morning's call is being recorded on Thursday, February 19, 2026, at 8:30 a.m. Eastern Time. I would now like to turn the call over to Mr. Eric Lefebvre, Chief Executive Officer of MTY Food Group. Please go ahead, sir.
Eric Lefebvre: Thank you, and good morning, everyone. This morning, we released our 2025 Q4 and fiscal year-end results, which you can find posted on our website. While macro conditions remain challenging throughout 2025, Q4 showed continued strengthening in many of our core metrics. We are encouraged by the acceleration in positive net unit growth, deepening of our development pipeline, robust free cash flow generation and lower leverage, which grants us greater financial flexibility. After many years of strategic focus, MTY's store network is now in its healthiest position in over a decade. Building off last quarter's positive momentum, Q4 experienced a net addition of 19 locations, which pushed us into positive territory on an annual basis for the first time since 2013. This has been achieved through a combination of strengthening of our partnerships with existing franchisees, selectively investing where we see the strongest returns and developing more tools to energize and monitor our business. Excluding normal seasonal weakness expected in Q1, we believe that we're in a good position for this positive momentum to continue into 2026. Turning to same-store sales growth. The macroeconomic backdrop remained challenging as consumers and business owners faced a variety of shocks throughout 2025. In Q4, our same-store sales declined by 1.7% overall, with Canada flat and the U.S. down 2.8%. Results were generally similar by restaurant type within each region. To counteract these pressures, MTY must continue investing for the long term in both the guests and the franchisee experience. Our priorities remain enhancing consumer engagement and decision-making through data science, fueling our omnichannel experience, which has significant white space in Canada and reinforcing all our brands through continuous improvements and innovation. Moving to profitability this quarter. Franchise operations segment profit reported a 53% improvement in Q4, which was primarily due to gift card breakage income, which Renee will address in a moment. Net of this impact, franchise operations in Canada remained flat, while the U.S. had a decline, which aligns with their corresponding same-store sales results that I mentioned earlier. During 2025, our free cash flows per share net of lease payments reached $5.68. The last 2 years have been the 2 best in our history, showcasing the resilience of our model and cash flow profile across business cycles. As such, we also raised our quarterly dividend by 12% last month to $0.37 per share. Before I pass the line to Renee, I would like to comment on the strategic review that was recently initiated by the Board of Directors. We cannot provide a specific time line or assurance that any transaction will result. I can confirm that the process is ongoing and active. For the purpose of today's call, I cannot comment on the process, but I can assure you that we will provide an update or make announcements as appropriate or as required by law. In parallel, MTY continues to be run as business as usual with the same discipline and long-term focus that's defined the company since our founding. With that, I'll turn it over to Renee to discuss the financials. Renee?
Renée St-Onge: Thank you, Eric, and good morning, everyone. Normalized adjusted EBITDA came in at $87.7 million for the fourth quarter, up 48% year-over-year compared to the same period last year. This increase was primarily due to a onetime $29.5 million increase in gift card breakage income related to unredeemed gift card balances related to an acquisition we made several years ago. At the time, we took a conservative approach to the unused portion of the gift cards for that brand pending the accumulation of sufficient reliable redemption data. Based on the clear pattern that can be derived from this additional decade of usage data, we are catching up on the estimates of the portion of the gift cards that will not be redeemed. Moving forward, we expect the usage to remain consistent. As mentioned by Eric, this gift card breakage fee also positively impacted our franchise operations segment profit and normalized adjusted EBITDA. Net of this impact, franchise operations segment profit in Canada were flat, while the U.S. decreased by 12% Canada franchising revenue saw an increase of 1% due to higher recurring revenue streams from the increase in system sales generated by this segment, while the U.S. was impacted by a decrease to recurring revenue streams as a result of lower system sales. On the expense side, franchise operating costs in Canada were in line with the same period last year, while the U.S. and international were up $2.5 million. The increase were primarily due to higher wages as a result of normal inflation as well as IT licensing costs and expenses related to our gift card program. We continue to add higher quality new stores and capture efficiencies from our ongoing initiatives. We expect franchisee EBITDA growth to outpace same-store sales growth. Segment profit and normalized adjusted EBITDA for the Corporate Store segment came in at $7.9 million, up 23% or $1.5 million from last year. Margins improved to 7% compared to 5% in the same period last year. We remain confident in our ability to drive improvements in corporate store over time, which should result in margins moving towards the high single digits. Food Processing Distribution and Retail segment delivered revenue growth of 27%, driven by a shift in our retail model from a licensing agreement to vendor on record for some of our products. Our profit margins remained stable between the 2 periods at 11%. We believe meaningful opportunities exist within the retail channel for top line and margin expansion as we continue to build scale and strengthen our presence in underpenetrated markets. We reported $32.1 million in net income attributable to owners or $1.40 per diluted share, an increase of more than $87 million from the prior period. The improvement was primarily due to a onetime impairment loss recorded last year in relation to Papa Murphy's as well as the gift card breakage recorded this year. As Eric mentioned earlier, our asset-light and well-diversified business model continues to generate strong free cash flows. This performance provides us with significant optionality to reduce debt, invest for the future and return capital to shareholders. In the fourth quarter, cash flow from operations were $46.2 million compared to $43.7 million in the same period last year. Free cash flow net of lease repayments was $37.6 million, up 38% compared to $27.4 million in the same period last year. We ended the quarter with net debt of approximately $580 million. Considering our strong free cash flow generating ability, our debt-to-EBITDA of approximately 2x is at a level that gives us the opportunity to take advantage of the options we possess to deliver enhanced shareholder value. And with that, I'd like to thank you for your time and turn it back to Eric for closing remarks.
Eric Lefebvre: Thank you, Renee. During the last 2 years, we focused on strengthening the core fundamentals of the business and laying the groundwork for improved performance as market conditions evolve. We've made significant strides, but our job is not done. There continues to be many opportunities to enhance shareholder value, we're pursuing them with both vigor and discipline. While near-term volatility in consumer sentiment remains, we believe MTY is well positioned to navigate this environment due to the strength of our people, the breadth of our portfolio and proven resilience of our business model. With that, let's open the line for questions. Operator?
Operator: [Operator Instructions] The next question comes from the line of Derek Lessard with TD Cowen.
Derek Lessard: Eric, nice to see the positive store growth, the net new growth there. Again, in the quarter, you reported another 19 net new openings, and you noted a strong development pipeline. So I was curious if you can maybe talk about which of the banners that you're seeing interest and/or the greatest strength in.
Eric Lefebvre: Yes. Thank you, Derek. Yes, there's a few brands. Obviously, we -- not all our brands have the same strength. But for now, I mean, Cold Stone and Wetzel's remain our champions for the number of store openings and the growth we see in these 2 brands. But there is strength in other areas of our portfolio. I can name, for example, Taco Time in Canada, where we have a very strong development pipeline, very achievable and ambitious targets for this year and next year. Thai Express is another example where we finished the year strong, and we have ambitious targets for '26. So it's more than just Cold Stone and Wetzel's, but they remain the 2 champions.
Derek Lessard: Okay. That's great color. And just maybe on the -- I noticed on the digital sales -- there was one -- I guess it was Papa Murphy's that dragged down your results. So the first question is -- the first question on Papa Murphy's is sort of when do you expect some stabilization in that banner. But then -- and as a follow-up, you also -- excluding that decline, digital sales in the U.S. were up actually 6%. So curious on some of the initiatives or platform improvements that you have going on that are driving that strong performance.
Eric Lefebvre: Yes. Well, for Papa Murphy's, it's a pretty important brand for us. Obviously, in terms of sales, it's our #1 brand, and it's got a heavy component of digital sales. So if there's a decline in sales for Papa Murphy's, it automatically impacts the ratio for the entire business. That being said, Papa Murphy's had a reasonable Q4. It was not great, but it was -- sequentially, it was better than in some previous quarters. So stabilization is it's hard to know exactly when that's going to happen because we have good periods and then sometimes there's periods that are a little bit more challenging that follow. So we are in that volatile environment where we do a lot of things. We're trying a lot of things. We're trying hard to make the business work and to improve sales on a sustainable basis for this brand. But it remains challenging. Pizza is super competitive, as you know. A lot of our competitors have very aggressive promotions. And promotions, to be honest, that are hard for us to match. We need our franchisees to have a chance to turn profitability. And if you give the product away, it makes it difficult for them to achieve that. And even for our corporate stores that we own in the chain, we have skin in the game for Papa Murphy's. So obviously, if our franchisees feel the pain, we feel it as well. So I mean, we're working hard. We have a number of technologies that are being deployed. First leg of some new tools is going to kick in probably late March, early April. And we hope that's going to help us drive better business, help us communicate with our customers more effectively, hopefully acquire customers as well. So these new technologies are coming live soon, and Papa Murphy's will go first. and then other brands will be able to follow with these. And the second part of your question was regarding low-hanging fruits that we might have. And you can look at brands, for example, like Wetzel's Pretzels, where we're just only beginning with loyalty. We're just only beginning with digital. It represents almost nothing in our portfolio -- in our current sales. So we do see an opportunity there. And as mentioned in previous calls, we're lagging in Canada in terms of technology. We're almost there now with the cleaning up and preparing our data and making sure that we accumulate reliable and usable data. And we're almost there now with being able to deploy these tools. So we're pretty bullish on the potential of these technologies on the business. It took a little bit longer than expected for us to get there, but we're just there now.
Operator: The next question comes from Bea Fabrero with Scotiabank.
Bea Fabrero: For your U.S. market, do you expect same-store sales to turn around this year given the tax refunds and potential rate cuts?
Eric Lefebvre: Well, yes, the U.S. market is -- it's volatile. I would say we had a good beginning of the year with some of our brands and more challenging for some others. I can't necessarily comment on refunds and rate cuts because I don't want to speculate on the impact and timing of these things. But obviously, they would help. They can't be negative for us. So if these things come, it's going to help. We're lapping a certain number of things this year. There was the -- in Q1, there was the tax abatement in Canada that we're lapping now that doesn't exist this year, obviously. So any help we can get from our regulators and our government is going to help for sure.
Bea Fabrero: And another one on your franchisee profitability, have you seen any headwinds across the industry? Like how are your franchisees faring?
Eric Lefebvre: Yes. Yes, there's -- our industry, by definition, always faces headwinds. There's always something. I mean it's the nature of our business. It's a competitive business and consumers right now are feeling the pinch, especially the lower-income consumers. But as far as franchisee profitability, there's pressure coming from costs and commodities, especially on the protein side. But from the data we accumulate, our franchisees' profitability is stable or improving for most of our brands. So I mean, we're taking many actions on a day-to-day basis to try to help that, whether it's purchasing, distribution, any different types of products or services they need in their locations. And that we also need in our corporate stores. So we're trying to take action. We're trying to measure it better and better also to be able to take action quicker as we might see symptoms coming in. And I think with more data and more granularity in our business, I think we're able to take more informed decisions and faster.
Operator: The next question comes from Ryland Conrad with RBC Capital Markets.
Ryland Conrad: Just to maybe start off on CapEx, obviously, a lot lower this year. So could you just share some high-level expectations on CapEx for 2026? And related to that, I know the focus has been on delevering recently, but how are you thinking about your free cash flow priorities evolving as this year progresses?
Eric Lefebvre: Yes. Well, for CapEx, I think the year 2025 is the new normal. We do expect to have limited CapEx. There's always going to be some for our restaurants or for our plants. We have projects that have good ROIs, but we shouldn't see the massive CapEx that we saw in '23 and '24. I think that '25 is expected to be the new normal. As far as free cash flow opportunities, obviously, I can't comment on what we expect to do with our cash flows as there is a number of different things that are in the air at the moment. But we want to increase our optionality, paying down our debt seems to be the sensible choice now because that opens all the doors for us, and it makes all possibilities open for MTY going forward. So I won't comment on that further.
Ryland Conrad: Okay. And then just on same-store sales, still seeing that bifurcation between Canada and the U.S. So could you speak a bit to what you're seeing there in terms of traffic and average check and just how those dynamics might be differing between the 2 markets?
Eric Lefebvre: Yes. It's interesting to see that in the U.S., we're doing better with QSR and our casual dining is struggling a little bit, and we tend to see similar trends with our peers. It's a little bit more complicated to generate the traffic and also improve the basket size in our U.S. casual dining business. In Canada, we're seeing the opposite where not all of our casual dining brands are thriving at the moment. But on average, we're doing really good with most of our brands. And then QSR is struggling a little bit more and predominantly where we have mall-based locations in Canada, it seems that it's a little bit more of a challenge. So it's hard to understand exactly where each market is going, but we're trying to correct course on brands that are challenging and double down on the brands that are thriving at the moment.
Ryland Conrad: Okay. And then just on Papa Murphy's again. I know last quarter, you unpacked quite a few of the initiatives underway there, including the loyalty program revamp. Could you just provide a bit of a progress update there and just whether you've seen greater engagement with that banner?
Eric Lefebvre: Yes. Yes, we did -- the loyalty push that we did enabled us to gain a lot of new members to our loyalty program. And then in turn, that enables us to communicate with these customers more effectively and try to incentivize them and increase frequency with these new customers that we gained. The proof is in the pudding, though, we'll see in the coming months. It takes a little bit of time to be able to measure the impact of all these initiatives. We can measure a certain number of customers joining our loyalty program. We can measure a certain number of things, but it's the test of time that will tell whether that was successful or not. Certainly, an interesting push for us and trying to make the brand as relevant as possible to as many different types of consumers and generations of consumers as possible is critical for Papa Murphy's. So it's not going to be only one thing that matters. It's a collection of many different initiatives that we're pushing right now and that we will be pushing in the coming months that will matter.
Operator: The next question comes from Michael Glen with Raymond James.
Michael Glen: Eric, I'm just hoping maybe you can speak to what was the underlying motivation to pursue a strategic review at this point in time? And then are you able to indicate when the strategic review did actually begin? I know we saw the newspaper article about it, but had the review already been ongoing at that time?
Eric Lefebvre: Yes. Unfortunately, Michael, I can't answer those questions. I apologize.
Michael Glen: Okay. And then can you -- are you able to -- are you precluded or you're restricted from pursuing a normal -- the share repurchase program while the strategic review is ongoing?
Eric Lefebvre: Yes, I can't answer that question either.
Michael Glen: Okay. Then across the banners, you spoke about Papa Murphy's and Cold Stone. When we look across the U.S. banners, how should we think about -- when we're thinking about the consolidated margin you're reporting, how do we think about the variance of the profitability across the banners?
Eric Lefebvre: Yes. Well, the first thing I'll say is that all our banners are profitable over a long period of time. There is some ups and downs depending on certain items. But the goal for us is to make all our brands profitable. And it's not necessarily all the big brands that are more profitable than the smaller brands. But in general, we're trying to achieve similar profit margins with all our brands. And whether a brand has 50 stores or 1,500 stores shouldn't preclude it from achieving profitability and having ambitious targets. So we're trying to achieve the same thing. There are exceptions to that. Obviously, some brands are a little bit harder to manage than others, depending on how spread out some geographies are and maybe some heavy lifting temporary for certain things, for example, for retraining our franchisees or major initiatives that require a lot of our people to be on the field to retrain or implement something. But over a long period of time, all our brands should have similar margins and similar profitability metrics.
Michael Glen: Okay. And how do you -- across the QSR segment, there's been quite a large push in the U.S. towards more value offerings hitting menus. Are you seeing that impact in terms of the traffic at your stores?
Eric Lefebvre: For some brands, yes. I mentioned Papa Murphy's earlier. As you know, pizza is a super competitive space and our peers are heavily discounting their products. So obviously, there's an impact. What we're seeing, and maybe I'll exclude the snack brands for that, where typically, we don't need to discount these products as much. But for most of the other brands, you do need to give your customers an entry point where they'll feel value. You might try to direct them to something else, but you do need to have that entry point for people to be able to compare. And if they need something to be more cost effective, you need to be able to offer it to the customers. So it's a fine line between over-discounting our product and offering an entry point that will be relevant in the market and also trying to create a habit to come to our stores and avoiding creating a habit of going to our competitors because the win back is always more expensive than the maintenance of a customer.
Michael Glen: Okay. And then just finally, in the notes, and maybe you can actually disclose the number, but in the notes, there's -- the catch-up on the card breakage is indicated at something like $29.5 million. Is that the figure that we should use to come to -- like should we be -- is it fair to exclude that number from the EBITDA to get a sense as to what the impact was in the quarter?
Eric Lefebvre: Yes. That number is -- should be excluded from the baseline. The breakage income is more or less -- other than that onetime adjustment, the breakage income would be more or less in line with previous years and is not expected to vary significantly in future years either. So that number can be used, yes.
Operator: [Operator Instructions] We have reached the end of the question-and-answer session. This concludes today's conference, and you may now disconnect your lines at this time. Thank you all for your participation.